David Jones: [Call starts abruptly] This is David Jones. I'm Innospec's General Counsel and Chief Compliance Officer. Late yesterday, we reported our financial results for the quarter ended June 30, 2022. The earnings release and this presentation are posted on the company's website. During this call we will make forward-looking statements, which are predictions, projections and other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from anticipated results implied by forward-looking statements. The risks and uncertainties are detailed in Innospec's 10-K, 10-Qs and other filings with the SEC. Please see the SEC site or Innospec's site for these and other documents. In our discussion today we've also included non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure is contained in our earnings release. The non-GAAP financial measures should not be considered as a substitute for or superior to those prepared in accordance with GAAP. They're included additional items to aid investors understanding of the company's performance in addition to the impact of these items and events have on financial results. With me today from Innospec are Patrick Williams, President and Chief Executive Officer and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I'll turn it over to you, Patrick.
Patrick Williams: Thank you, David and welcome everyone to Innospec's Second Quarter 2022 Conference Call. This was another very good quarter for Innospec. Volume, price and mix improvements drove double-digit increases in sales and operating income in all businesses. Our manufacturing and supply chain teams have remained extremely resourceful through these ongoing global imbalances and we continue to build on our reputation as a consistent and reliable partner to our customers. Performance Chemicals sales grew in all end markets. Operating income was up 61% over last year and EBITDA margin surpassed 20%. Personal Care demand drove most of the margin, and operating income improvement over the prior year and more than offset weaker demand in smaller segments like European Homecare. To support Personal Care growth we are adding capacity under our current two year $70 billion organic investment program. In addition, this quarter, we opened our new 20,000 square foot Global Technology Center, which supports R&D and technical services across all our Performance Chemicals business segments. To further positioned for long-term growth, last week we closed on the purchase of significant additional land, adjacent to our primary U.S. performance chemicals manufacturing facility in North Carolina. Fuel Specialties delivered an 11% increase in operating income over a strong comparative quarter last year. Gross margins remained at the lower end of our target range however, we expect improvement as inflation normalizes and higher margin end markets like jet fuel fully recover. We continue to have success in introducing our innovative technologies into new applications and end markets. Several of these segments like low-sulfur marine fuel, renewable fuels and nonfuel application areas have delivered double-digit growth over the past several years. These opportunities have exciting growth potential and are aligned with global sustainability objectives. Oilfield Services operating income approximately doubled versus the prior year. Despite continued growth in our Production Chemical segment recovering our completions business and overall performance is still below our internal expectations. We expect sequential operating income and large expansion to continue in the coming quarters. Now, I will turn the call over to Ian Cleminson, who will review our financial results in more detail then I will return with some including comments after that, Ian and I will take your questions.
Ian Cleminson: Thanks, Patrick. Turning to Slide 7 in the presentation, the company's total revenues for the second quarter were $467.6 million, a 32% increase from $354.5 million a year ago. Overall, gross margin decreased slightly by 0.7 percentage points from last year to 29.9%. EBITDA for the quarter was $53.9 million compared to $50.6 million last year and net income for the quarter was $32.3 million compared to $22.4 million a year ago. Our GAAP earnings per share were $1.29 including special items, the net effect of which decreased our second quarter earnings by $0.29 per share. A year ago we reported GAAP earnings per share of $0.90, which included a negative impact from special items of $0.40 per share. Excluding special items in both years, our adjusted EPS for the quarter was $1.58 compared to $1.30, a year ago. Turning to Slide 8 revenues in Performance Chemicals for the second quarter were $169 million, up 32% from last year's $128.2 million. Volumes grew 6% with a positive price mix of 34% offsetting an adverse currency impact of 8%. Gross margins of 25.8% were up by 1.2 percentage points, compared to 24.6% in the same quarter in 2021 benefiting from the growth in higher margin Personal Care business. Operating income increased 61% from last year to $28.8 million. Moving on to Slide 9, revenues in Fuel Specialties for the second quarter were $176.4 million, 23% higher than the $143.1 million reported a year ago. Volumes grew by 3% and there was a positive price mix effect of 27%, offsetting a negative currency impact of 7%. Fuel Specialties gross margins of 33.3% with 3.7 percentage points below a relatively strong quarter last year and will remain at the lower end of our expected range until inflation moderates. Operating income increased 11% from last year to $31.5 million. Moving onto Slide 10, revenues in oilfield services for the quarter were $122.2 million, up 47% from $83.2 million in the second quarter last year. Gross margins of 32.2% we're broadly the same as last year and operating income of $4.5 million was a $3.3 million improvement from a year ago. Turning to Slide 11, corporate costs for the quarter were $18.5 million compared to $11.6 million a year ago, due mainly to higher personnel related expenses, driven by increased share-based compensation and performance related accruals. The effective tax rate for the quarter was 23.6% compared to 44.1% a year ago, which included the enacted change in United Kingdom tax rates impacting deferred tax. The adjusted effective tax rate for the quarter was 22.8% compared to 24.2% last year. Moving on to Slide 12, cash generation for the quarter was impacted by a $43.7 million cash outflow for working capital, which resulted in an operating cash outflow was $7.5 million before capital expenditures of $9 million. As of June 30 Innospec had $71.4 million in cash and cash equivalents and no debt and now, I'll turn it back over to Patrick for some final comments.
Patrick Williams: Thanks, Ian. Global economic and supply chain uncertainty is expected to continue in the coming quarters. This will not distract our focus from safe operations, product innovation, with exceptional customer service and support. Although we are seeing some signs that cost place it could begin to moderate parts of our business, we continue to manage price actions in close collaboration with our customers. Coming into the third quarter, we see strong demand across all our businesses. Personal Care volumes which drive over 75% of Performance Chemicals operating income are supported by multi-year contracts with recent capacity addition sold out as they come online. Fuel Specialties has historically been a relatively steady business during slower economic periods due to our chemistries critical performance in our customers' products. We feel that Oilfield services continues to have significant growth potential with a target returning to pre-COVID operating income levels over the medium term. This quarter we continue to return value to shareholders with our $15.6 million semiannual dividend and $1.8 million of share repurchases. Despite any near economic volatility, we believe our strong balance sheet positions us for further dividend growth and share repurchases while funding our organic investment priorities and M&A. Now, I will turn the call over to the operator and Ian and I will take your questions.
Operator: Thank you. [Operator Instructions] Now we're going to take our first question and it comes from the line of Mike Harrison from Seaport Research Partners. Your line is open, please ask your question.
Mike Harrison: Hi, good morning and congratulations on a strong quarter.
Patrick Williams: Thanks, Mike.
Mike Harrison: I was wondering if you could walk through the trends that you're seeing in Europe in both your Performance Chemicals business and Fuel Specialties, where are you seeing pockets that are softening and where are you seeing some pockets that might be more resilient?
Patrick Williams: Mike, it's Patrick. In Europe, we're seeing still strong personal care that's globally. The weaknesses that we're seeing in Europe are strictly in the Home Care area. Now a smaller part of our business therefore, we're still seeing significant growth in that region and I think we're seeing the same in Fuel Specialties. We have nice growth in Europe, we're seeing really good growth in the United States and South America. It's still a little slow and ASPAC due to some of the Asian countries still shut down due to COVID but overall, we're really still seeing strong demand and strong growth in most of our markets.
Mike Harrison: And then, I have to ask this question that's being asked of a lot of companies right now which is in terms of the potential for energy rationing and maybe some natural gas shortages in Europe. Can you talk about facilities that might be impacted or maybe more broadly, how you might be impacted, but I believe that you have a facility in Germany that is reliant on ethylene by pipeline. What do you think happens there and I guess as it relates to Fuel Specialties in Europe, I would think of those products is being pretty essential to having the economy function. So would you be expect to be in a position to be higher on the priority list if there were some rationing going on?
Patrick Williams: Mike, so we've run our contingency plans on all of our plants in Europe. We have two plants one, you just mentioned that has sits softened ethylene line but it sits in a major manufacturer industrial facility. We could run that plant for quite some time off steam, if there was a severe natural gas shortage in that area. The other plant is in Castiglione that would require us to either A increase inventory or B move to one of our other diversified plants where we can react the same products. So, the good thing about our business when we ran our contingency plan as we have planned for both of those plants on a, just in case basis and it goes to a 20% to 80% cut on natural gas. So we think we're in a good spot. Now we can't control what happens to the consumer, we can't control what happens to raw materials coming in but what we can control is our plants and we think we're sitting in a pretty good position.
Mike Harrison: All right. And then, wanted to ask about the additional land that you acquired for the Performance Chemicals facility in North Carolina, it suggests that you have a vision of future capital programs beyond the current $70 million in projects that you're spending on currently. So can you help us frame-up the future scope of that facility in North Carolina and maybe what additional capabilities or technologies or product lines you're going to be looking to add to?
Patrick Williams: Yes. It really stays within the strategy of 14 dioxin free, nitrous made free, sulfate free strategy, gives us contiguous acreage. It gives us more than enough ability to expand and add more reactors, as well as roads and expand offices if needed, it would be in addition to the $70 million if and when we use that expansion, which I would assume it will be sometime in the next five years. But over the next two years you'll see us staying where we are and expanding on the current facility that we're at right now. It just gives us the ability to -- Mike, as we grow our strategy and our strategy increases in the market. It gives us the ability to add on to that area of business focus that we're at right now.
Mike Harrison: All right, sounds good. And then, last question for me is on Performance Chemicals and the gross margin performance there looks pretty good, not many companies are showing gross margin improvement right now. Can you comment on how you're seeing price cost play out in the second half in Performance Chemicals and maybe how some of the fixed costs related to this additional capacity are flowing in and might impact your margin performance as we think about the second half.
Ian Cleminson: That's good question, Mike. What we're seeing right now is really good demand particularly in our Performance Chemicals business, and that's what's really driving that gross margin improvement. We said earlier in the script that the sales mix is very strong for us, which is pushing our gross margins to that 25 percentage point range. Right now, we'd be expect since somewhere between 24% to 25% for the remainder of this year as we add additional volume on that were alluding to earlier that's only going to help with the gross margins and I think it's worth just sort of looking back a number of years and if you go back to probably 2017 when we first did the major acquisition in performance chemicals, our gross margins were in that sort of 18% range and we knew that we could probably get them a lot higher, and we've worked very hard and we've added 5, 6, 7 percentage points on. Now from here on in it's going to be pretty much incremental but certainly as we set here additional volume, pricing is sticking, customer demand is good. So we're looking pretty solid for the rest of this year in that 24% to 25% gross margin range.
Mike Harrison: And I guess the last piece of that is on cost. Are you seeing some at least moderation in the rate of inflation or any signs of stabilization in some of your input costs?
Ian Cleminson: So, specifically in Performance Chemicals, I think we are just about starting to see some moderation towards the back end of the quarter three, I thought back in the quarter two. Let's see what happens in quarter three and beyond. Fuel Specialties we didn't see any released so far in quarter two, in quarter two but we're hopeful that we'll start to see some in quarter three or quarter four and it's the same in oilfield. So it's still pretty difficult for us out there, but we're doing a great job working with our customers, supply is being created and as you know our way through that through additional inventories through lots of price increases and we're going to have to see that continued into Q3.
Mike Harrison: All right. Thanks very much.
Ian Cleminson: Thanks, Mike.
Operator: Thank you. Now we're going to take our next question. Please standby and our next question comes from the line of Jon Tanwanteng from CJS Securities. Your line is open, please ask your question.
Stefanos Crist: Good morning. This is Stefanos Crist calling in for Jon, thanks for taking our questions.
Patrick Williams: Good morning, Stefanos.
Stefanos Crist: Good. Could you just give us a little more detail on the home care business and how that relates to just what you're seeing in consumer demand and sentiment and just where you see that trend going forward.
Patrick Williams: Yes. Again, as we said, it's mostly in Europe and it is a little consumer demand comes off a little bit. We don't think it's going to be long-term, it is market driven. We well positioned that business and being that it is a smaller portion of the business, it's not a big concern. We have the products, the markets there, it's just strictly a demand issue right now and it's not way off Stefano. It's just up a little bit.
Stefanos Crist: Got you. Thank you. And just quick one in here, what are you seeing in the M&A pipeline and any potential targets and maybe a possible time on any further M&A?
Patrick Williams: Yes. I mean, you're seeing multiples start to retract a little bit just strictly due to interest rates. I think that people now who are highly leveraged in a concerning market and potentially of a recession are looking at things more strategically, which gives us an opportunity potentially to take something off the table. We're looking at a lot of deals. We've walked away from a lot. There are some that have interest but I think that we're just being very cautious and we're in a volatile market right now and we just need to be careful. We've got more than enough organic growth for this company to move forward and in a controlled way, and so it's just really right now, once we find that deal we will let it stop us, but we haven't found that deal that we're looking for. But I will tell you, I do think something could pop-up over the next 6 to 12 months as our hope.
Stefanos Crist: Sounds great. Thanks so much for taking my questions.
Patrick Williams: Thank you.
Operator: Thank you. There are no further questions and I would like to hand back to our speaker Patrick Williams for closing remarks.
Patrick Williams: Thank you all for joining us today and thanks to all our shareholders, customers and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed today please give us a call. We look forward to being up with you again to discuss our third quarter 2022 results in November. Have a great day.